Operator: Welcome to Adient’s Third Quarter Earnings Call. At this time, all participants are in a listen-only mode until the question-and-answer session of today’s conference. [Operator Instructions] I would like to inform all parties that today’s conference is being recorded. [Operator Instructions] I would now like to turn the call over to your host, Mark Oswald. Thank you.
Mark Oswald: Thank you, Danielle. Good morning. And thank you for joining us as we view Adient’s results for the third quarter of fiscal year 2022. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I’m joined by Doug Del Grosso, Adient’s President and Chief Executive Officer; Jeff Stafeil, our Executive Vice President and Chief Financial Officer; and Jerome Dorlack, Executive, Vice President of the Americas. On today’s call, Doug will provide an update on the business, followed by Jeff, who will review our Q3 financial results and outlook for the remainder of the year. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Doug and Jeff, there are few items I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to slide two of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix or full earnings release. This concludes my comments. I’ll now turn the call over to Doug.
Doug Del Grosso: Great. Thanks, Mark. Good morning. Thank you to our investors, prospective investors and analysts joining the call this morning as we review our third quarter results for fiscal 2022. Turning to slide four, let me begin with a few comments related to the quarter. Continuing the trend experienced throughout 2022, numerous external factors, including supply chain disruptions and resulting operating inefficiencies, COVID lockdowns increased freight and labor availability to name a few, continue to influence the industry and Adient’s near-term results. Despite encouraging signs some of the negative factors began to moderate towards the end of the quarter such as widespread COVID lockdowns in China. The headwinds had a significant impact on Adient’s third quarter results. Specifically, Adient’s EBITDA, results for Q3 contained approximately $175 million of lost volume and temporary operating inefficiencies. This included approximately $10 million of temporary savings. Adient’s key financial metrics for the quarter can be seen on the right-hand side of the slide. Revenue for the quarter, which totaled $3.5 billion was up about $60 million compared to last year’s third quarter adjusted for portfolio actions executed in 2021. The adjusted EBITDA for the quarter totaled $143 million, as pointed out on the slide, including $175 million in lost volume, temporary operating inefficiencies and premiums, again, primarily driven by unplanned production stoppages at our customers. Adient’s June 30th cash balance totaled just under $900 million. Total liquidity was about $1.7 billion. I’ll point out that this cash and liquidity position, which includes the impact of fully repaying our European Investment Bank Loan during the quarter is a proof point, the company has successfully balancing its commitment to strengthen our balance sheet, while maintaining ample liquidity to navigate through the challenging operating environment. Despite the continued difficult operating environment, Adient continues to execute actions within its control to position the company for sustained success. These actions include, but not limited to, the team’s execution of its day-to-day process, with an intense focus on launch execution, costs, operational improvement and customer profitability management. In addition, we continue to execute actions to mitigate prolonged supply chain disruption and rising input costs, which include structural cost reduction, collaborating with our customers to reduce material costs and opportunistically using alternative ports to reduce ocean freight costs. And lastly, as highlighted at the bottom of the slide, the company continues to successfully deliver product and process excellent to our customer, as evidenced by numerous customer and industry awards including, Changan Ford’s 2021 Excellent Supplier Award, the WBENC’s Top Corporation Resiliency Award, WEConnect’s 2022 Top Global Supplier Diversity & Inclusion Award for Adient’s work in Mexico sourcing to women business enterprise and multiple GM Supplier Quality Excellence Awards. I mentioned these words as proof points that despite the challenging operating environment, the team is focused and continues to operate at very high levels. Turning to slide five, let me expand on what we’re seeing with regard to the current operating environment. In the middle of the slide, we’ve highlighted several of the headwinds the industry and Adient continues to face. This looks -- this list should look familiar as many of these external headwinds surfaced at the end of our second quarter last year and they have continued into fiscal 2022. The most significant influences include the widespread COVID lockdowns in China, which had a significant impact during the COVID, especially in April and May, ongoing supply chain disruptions that continue to impact at our customers, similar to what we experienced last quarter, these disruptions were the result of semiconductor and other components availability, unplanned production stoppages continued to lead to premiums and operating inefficiencies across our network. For Q3 fiscal 2022 we estimate supply chain disruptions and lockdowns in China resulting in loss production, operating inefficiencies and other inflationary pressures, such as freight and utilities had a net impact on the topline of about $600 million and adjusted EBITDA of approximately $175 million. For fiscal 2022 year-to-date through June, we estimate significantly lower production, temporary operating inefficiencies and inflationary pressures have impacted our topline and adjusted EBITDA by $2.1 billion and $530 million, respectively. For the remainder of the fiscal year, we continue to expect unplanned production stoppages and temporary operating inefficiencies to continue, but at a much lower level, as our customers continue to make progress improving their operating patterns. With regard to progress foreseen, the team routinely looks at a metric we call Start of the Month, End of the Month. It’s simply a stat that illustrates how many units the customer plan to run at the beginning of the month versus what was actually produced at the end of the month. Six months ago, in general customers were producing about 75% of what they plan. Today we’re seeing that percentage near 80%. Again, not ideal but moving in the right direction, we expect this will continue to improve in the coming quarters, giving us confidence that the temporary inefficiencies should be less of a headwind. With regard to certain commodities such as steel and chemicals, Adient is having success at limiting the negative impact this year through successful commercial negotiations. Based on recent steel prices movements and contractual agreements in place both for steel buy, as well as our customers for recoveries based on escalators pass-throughs in place, we continue to forecast a commodity headwind of less than $10 million for the full year. Although, we’re seeing good results here other inflationary pressures such as rising energy costs and ocean freight continue to escalate impacting not only the remainder of 2022 but fiscal 2023 as well. Speaking then next year, the team is in the process of developing their 2023 plan. As part of our plan development, we’re tracking a number of factors, both positive and negative, that we expect to influence Adient’s 2023 results. Jeff will provide a high level early look at certain of these with his prepared remarks. Moving on to slide six and seven, let’s take a look at new business wins and launch performance. As you can see, slide six is our typical new business slide, highlighting a few of Adient’s recent wins. The programs highlighted represent a good mix of wins accross powertrains, ICE and EVs, components, foam, trim, metals and complete seat, and customers, new entrants and legacy. We continue to expect the balance in and balance out of these programs will continue to drive margin improvement. One of the programs we highlighted is recent win with Toyota in China. The program is worth noting for several reasons; first, the wind is a great example of our ability to capture large degree of vertical integration with JIT, foam and metals; second, this is the first time we won based on our Toyota structure; and finally, this demonstrates our ability to secure new metals business where it makes sense keeping intact our discipline quoting philosophy underpinned by margin and returns. We’re flipping to slide seven. As we typically do, we’ve highlighted several critical launches that are complete, in process or scheduled to begin in the near-term. I’m happy to report the launches currently underway are progressing smoothly. With regard to the Toyota Sequoia launch illustrated at the top of the slide are several highlights worth mentioning. First, the program is complex and contains a high level of vertical integration including, foam, trim and metals. Cost and timing benefited from a large degree of capital reuse specifically, the front row seats are 100% carryover, from a different Toyota platform. In addition, the third row Sequoia seats are being built on the second row under JIT lines at our Evans our joint venture facility. Again a good proof point of how Adient is efficiently deploying capital. The launches and platform showed not only impact Adient’s JIT facilities but also span across our network of foam, trim and metal facilities. The team continues to focus on process discipline around launch readiness and has delivered a high level of performance. In addition to the number of launches and complexities, the distribution to production schedules continue to present another layer of challenges the team is successfully managing through. Again, a testament to the discipline we’ve been stilled around our processes. One last comment on launchers, I’m sure most of you saw the recently unveiled laser EV from Chevrolet. We’re excited to be aspired to that vehicle and can’t wait for it to launch in summer of 2023. Flipping the slide eight, in addition to winning businesses and executing successful launches, which are vital to Adient’s future success, one other area I’d like to highlight, which is equally important to the company is our efforts related to ESG. At Adient, we approach our operations with a sustainable mindset that drives continuous progress toward our ESG goals. A few examples of how this translates into our day-to-day approach includes but are not limited to our sustainability workshops, which is a collaboration with all of our global customers to provide seating solutions that meet stringent targets for cost, sustainability and customer satisfaction goals. To-date, about two dozen workshops have been completed generating numerous ideas for implementation. Company also utilizes its carbon footprint tool that shows the link between product engineering manufacturing footprint and CO2 intensity to give granular transparency into seating systems CO2 improvement potential. And lastly, the team is very engaged and committed to minimizing Adient’s impact on deforestation. Although, we do not have a leather business like some of our competitors, seating surface material, including leather, are directed by our customers. Adient is very involved in identifying sustainable leather alternatives to educate our customers on ways to decarbonize the end product. Jeff, Jerome and Mark, were at an investor conference in New York during the quarter revealing these initiatives. We’ve included a link to the presentation in our earnings materials. The bottomline through collaboration with our customers and suppliers Adient is creating a sustainable future together. Before turning the call over to Jeff and turning to slide 10, let me conclude with a few comments related to frequent questions we’ve been asked, which is, what is likely to play out with regard to vehicle production and the impact for Adient heading into 2023. Although, there are several uncertainties and factors that are expected to influence 2023, which Jeff will cover in a few minutes. With regard to production and its impact on Adient, one of two scenarios is likely to play out. First, global vehicle production exceeds fiscal 2022. Although, still below pre-COVID volumes under this scenario in addition to higher volumes we’d expect our customers to continue to make improvements in their operating patterns. For Adient the increased volumes and more stable production environment combined with continued self-help initiatives would likely translate into improved earnings, margin and free cash flow. Under scenario two, call it, relatively flat production compared to fiscal 2022, possibly driven by a shift from supply constrained to demand constrained environment, we’d expect our customers to increase their focus on operating inefficiencies, really out of necessity. As you know, OEMs earnings in 2022 have been driven by pricing and not by efficiencies with their operations. For Adient the more stable production environment resulting in lower temporary operating inefficiencies combined with continued self-help initiatives would again translate into increased earnings, margin and free cash flow, though on a moderated level. In both scenarios, actions taken to lower our free cash breakeven has called out on the right-hand of the slide combined with an expected improved operating environment in fiscal 2023 should translate into improved earnings and cash flow. Obviously, early days as we develop our plan and sort through numerous inputs and unknowns, however, hopefully this provides you a line of sight which illustrates Adient’s operations and performing quite well outside the temporary operating inefficiencies and the team has committed to derive further progress. With that, I’ll turn the call over to Jeff to take us through Adient’s third quarter 2022 financial performance and provide additional detail on what’s expense for the balance of the year.
Jeff Stafeil: Great. Thanks, Doug, and good morning, everyone. I’ll begin on slide 11 and jump right into Adient’s Q3 financial results. Adhering to our typical format, the page is formatted with our reported results in the left and our adjusted results in the right side. We will focus our commentary on the adjusted results, which excludes special items that we view as either one-time in nature or otherwise skew, important trends and underlying performance. For the quarter, the biggest drivers of the difference between our reported and our adjusted results relate to purchase accounting amortization and restructuring and impairment cost. Details of all adjustments for the quarter and full year are in the appendix of the presentation. I’d also point out that and similar to last quarter within the appendix we’ve included pro forma results for each of the quarters in fiscal 2021 adjusting for the numerous portfolio actions executed last year. We believe these pro forma results provide helpful comparisons between the current year and the prior year results by adjusting the prior year to be on a consistent basis with current. High level for the quarter, sales were $3.5 billion, up about 7% compared to our third quarter results last year or about 2% compared to last year’s performer results. Similar to the past few quarters, the most recent quarter was significantly impacted by loss production, primarily driven by supply chain disruptions. Adjusted EBITDA for the quarter was $143 million, up $25 million year-on-year as reported or up $18 million compared to last year’s pro forma results. The increase is primarily attributed to benefits associated with improved business performance, commodity recoveries and to a lesser extent movements in FX. These benefits were partially offset by the impact of lower volume and mix, as well as inflationary pressures on freight and utilities. I’ll expand on these key drivers in just a minute. Finally, at the bottomline, Adient reported an adjusted net income of $8 million or $0.08 per share. Now let’s break down our third quarter results in more detail. I’ll cover the next few slides rather quickly as detail for these results are included on the slides. This should ensure we have adequate time set aside for the Q&A portion. Starting with revenue on slide 12, we reported consolidated sales of approximately $3.5 billion. The sales shown include the sales at Adient’s CQ and LF ventures, which are now consolidated since closing the strategic transformation in China, as well as other portfolios actions executed in fiscal 2021. The $3.5 billion is a slight increase of $60 million compared with Q3 2021 pro forma results. The primary driver of the year-over-year increase was higher volume and pricing, call it, approximately $232 million related to volume and pricing, including just under $100 million of commodity recoveries. The negative impact of FX movements between the two periods impacted the quarter by about $172 million. Focusing on the table on the right side, Adien’s consolidated sales for the Americas and EMEA were generally outpaced production That said, when stripping out the impact of commodity recoveries, results were generally in line with regional production. In China, Adient’s customers were impacted by supply chain issues and the widespread COVID lockdowns, particularly in the Shanghai area more severely than the overall market has led to temporary underperformance versus production in the region. Just the opposite occurred in Asia outside of China, which outperformed regional production, driven by the launch of certain conquest business and customer mix. Important to note and it’s highlighted on the slide, the quarterly year-over-year performance was adjusted to account for the portfolio actions implemented in fiscal 2021 and FX. With regard to Adient’s unconsolidated seating revenue, year-over-year results were down about 4% when adjusting for FX and the portfolio actions executed in 2021. Although, the widespread COVID lockdowns impact at our non-consolidated business in the quarter, the magnitude of the impact was less versus our consolidated business due to the differences in geographic mix and thus the impact of a lockdowns. Sales and production came back very strong in June. In fact, certain of the businesses were running nearly 10% above the year-to-date run rate exiting June, definitely a positive side for the balance of the year. That said, we expect our consolidated operations in China to perform more in line with the broader market in the quarters ahead and even better as we look further out on the horizon. Moving to slide 13, we’ve provided a bridge of adjusted EBITDA to show the performance of our segments between periods. The bucket labeled corporate represents central costs that are not allocated back to the operation, such as executive office, communications, corporate finance and legal. Big picture, adjusted EBITDA was $143 million in the current quarter versus $118 million reported a year ago or $125 million pro forma adjusted for the portfolio actions executed in fiscal 2021. I’ll focus my comments on the drivers between this year’s results and the performance adjusted results, as we believe that provides a more meaningful comparison to today’s business. The primary drivers of the year-on-year comparison are detailed on the page and are consistent with what we expected heading into the quarter. Positive influences included approximately $21 million associated with commodity recoveries and FX. The commodity portion was the largest driver at roughly $16 million. FX also contributed favorably as positive transactional effects outweighed the translational headwinds. Business performance also improved year-on-year, driven by improved net material margin of about $32 million, as well as benefits related to improve launch, ops, waste and tooling, call it, another $8 million. Unfortunately, but it’s expected, certain negative factors muted the positive impact to the business performance, specifically $21 million of increased freight costs and $9 million of higher input costs, such as off cycle wages, retention bonuses and increased utilities. Other headwinds included volume and mix of approximately $5 million. As pointed out in the slide, volume was a benefit in the Americas more than offset by headwinds in EMEA and Asia. And finally, equity income was lowered by $5 million, driven by the widespread COVID lockdowns in China. I’ll point out, this result was better than expected, as sales and production increased quickly once the lockdowns were lifted. Similar to past quarters, we provided our detailed segment performance slides in the appendix of the presentation. High level for the Americas, several positive factors drove a year-on-year increase, included improved volume resulting from modestly improving customer production schedules, improved business performance, driven by improved launch, ops, waste and net material margin, but partially offset by increased freight. And finally SG&A improved $11 million during the quarter, due partially to austerity measures taken in the year to offset the automotive production and operating environments. Note that these temporary measures have been included as an offset to the $175 million of headwinds, Doug noted on page five. In EMEA the modest year-on -- year-over-year improvement was driven by several factors such as commodity recoveries, which were strong and provided approximately $10 million of favorability, improved SG&A which similar to the Americas is largely driven by certain one-time non-repeating benefits to help offset the business environment and a slight improvement in equity income. Almost completely offsetting these benefits were headwinds related to business performance, specifically increased utilities, labor and overhead cost and rising freight costs, partially offset by improved net material margin and improved launch performance, and lower volume and mix, primarily driven by continued supply chain disruptions. In Asia, the widespread COVID lockdowns adversely impacted volumes and equity income. In addition, increased freight, labor costs and commodities in addition to FX added to the downward pressure. Let me now shift to our cash, liquidity and capital structure on slides 14 and 15. Starting with cash on slide 14. I’ll focus on the year-to-date results as the longer timeframe helps smooth out some of the volatility and working capital movements. Adjusted free cash flow defined as operating cash flow less CapEx was an outflow of $132 million. This compares to an inflow of about $176 million during the same period last year. Key drivers impacting the comparison include the lower level of consolidated earnings, lower level of dividends received and the typical month-to-month working capital movements resulted in an approximate $550 million headwind versus last year. As a reminder, the dividends received from China last year were elevated and reflected agreements in place which supported the strategic transformation in China. Partially offsetting these negative influences were positive benefits, including lower restructuring cost, as we trend to a normalized rate, a lower level of interest paid, driven by, of course, our balance sheet transformation; and finally, the timing of commercial settlements in VAT deferrals and payments. I’d also mentioned as called out on the slide, Adient continues to utilize various factoring programs as a low cost source of liquidity. At June 30, 2022, we had $262 million have factored receivables versus $100 million in last year’s Q3 and approximately $126 million at year end. The increase is attributed to improve sales and the addition of a new program. Flipping to slide 15, as noted on the right-hand side of the slide, we ended the quarter with about $1.7 billion total liquidity comprised of cash on hand of just under $900 million and about $780 million of undrawn capacity under Adient’s revolving line of credit. Adient’s debt to net debt position totaled about $2.7 billion and $1.8 billion, respectively, at June 30, 2022. As Doug mentioned earlier and noted on the slide, during the quarter, the company repaid its European Investment Bank loan. This brings our principal debt repayments for fiscal year-to-date to about $860 million. No doubt that we’ve made great progress on our balance sheet. Although, we’re solidly on track and committed to transforming the balance sheet, driven by our voluntary debt pay down, the company is very much focused on protecting our cash and liquidity. Our commitment to drive out net leverage -- to drive our net leverage down to between 1.5 times and 2.0 times has not changed. That said, we will be prudent in the timing and execution of additional voluntary pay down, given the challenging operating environment. Think of it as a balanced approach. Moving to slide 16 and 17, let me conclude with a few thoughts on what to expect for the balance of fiscal 2022 and some early commentary as we look ahead to fiscal 2023. First on slide 16, based on Adient’s results through June and the current market conditions, we currently forecast revenue of about $14.0 billion versus our previous guidance of $14.2 billion. The decrease is primarily attributed to movements in FX and lower production forecasted now versus our prior expectations. Important to note, we forecast to significantly lower industry production volumes, primarily driven by the persistent supply chain disruptions will pressure Adient’s topline by about $2.3 billion for the whole year. For adjusted EBITDA, we anticipate that will range between $640 million and $660 million for the year or approximately $200 million for the upcoming quarter. Included in the full year EBITDA guide is the significant impact of lower volumes, temporary operating inefficiencies and inflationary pressures, call it, about $610 million, which is consistent with our earlier expectations. As Doug pointed out, the year-to-date impact has been about $530 million, which implies the impact is expected to decline to about $80 million in Adient’s Q4. While full year EBITDA is down slightly versus our previous expectations, it reflects persistent external factors such as lower volumes, the negative impact of FX and continued escalation in certain input cost, namely energy and freight. These headwinds continue to mask certain of the positive influences, which I’d point out our -- within our control and include improvement in Adient’s core operations such as launch execution, ops, waste and recovery of material economics. As Doug noted earlier, net steel and chemical costs impact for 2022 is now expected to land at $10 million or less for the year. This is better than anticipated and was hard to fought and is the result of, among other things, commercial settlements above contractual obligations and renegotiated contracts that include reduced time lags for true-ups and reduced pain share for Adient’s on commodity price changes. I know certain of you will try to take the implied Q4 guidance for adjusted EBITDA and annualize it to arrive at a Q4 or at a run rate for fiscal 2023. However, as mentioned in the past, we caution against analyzing any quarter as there are many factors in play. Specific to Q4, the key factors would be the timing of commercial settlements, movements in commodity prices and related recoveries, the impact of supply chain disruptions and the resulting temporary operating inefficiencies. As we move into 2023, we currently expect volumes to increase and production inefficiencies to improve. Before moving on, let me make a few comments on free cash flow. Overall, we have not been sitting still during the pandemic and supply chain crisis. We have taken the time to drive down the production volume necessary to achieve breakeven cash flow. Specifically, we have lowered our fixed cost base, reduced our capital spending necessary to maintain our earnings base, lowered our restructuring burden, reduced our interest expense through deleveraging actions, tightly controlled our working capital accounts and reduced our tax exposure and risk profile through prudent planning. Well, there is always some noise in our final free cash flow numbers due to working capital fluctuations, factoring usage, et cetera, we anticipate that free cash flow will be approximately breakeven this year, despite the multitude of challenges faced. Further, we anticipate that approximately 80 million units of global production represents our current breakeven cash flow level. Therefore as the global market returns to volumes reached in pre-pandemic times, we would anticipate significant free cash flow generation opportunities for the company. Moving on, the strong rebound in sales and production in China after the lockdowns were lifted has resulted in better than expected equity income versus our previous guide. We now are expecting equity income, which is included in our adjusted EBITDA to be about $85 million. Interest expense is expected at about $160 million. No change from our previous guide. No change in our cash tax assumption of around $80 million. Our book taxes are also expected to be about $80 million, down from our earlier estimate of approximately $100 million. The lower expected expense is primarily driven by lower income in China due to COVID-related shutdowns and tax planning initiatives executed during Q3. As mentioned in our previous calls this year, during fiscal 2022, we expect our adjusted effective tax rate to be higher than normal and to fluctuate amongst quarters due to the valuation allowances and our geographic mix of income. That said, it’s important to remember that we maintain valuable tax attributes, such as net operating loss carryforwards and that these tax attributes can be used to offset profits on a going forward basis. So cash taxes on Adient’s operations should remain relatively low, even as our profits increase. And finally, based on our customer launch plans, we now expect capital expenditures to be between $250 million to $275 million. Looking beyond 2022 and turning to slide 17, let me comment on a few factors we expect to influence next year’s results. Incidentally, based on our recent investor calls, many of these factors are on your radar as you look to model 2023. The list contains positive and negative influences but let’s start with some of the positive ones. We expect global production to increase in 2023 versus 2022 and also anticipate that we will experience lower disruption and inefficiencies in our operations as well. Further, we anticipate our new business wins will continue at the strong pace experienced over the past few years, including a solid mix of EV business. Balance in, balance out of new business is expected to provide a tailwind as those programs launch, the team will continue to drive operational improvements. As noted, we expect vehicle production to be higher and thus would anticipate improve levels of free cash flow. While we still anticipate supply chain disruptions next year, we expect them to decrease and provide a tailwind versus 2022. And given the voluntary debt repayments over the past few years and future repayments, Adient’s balance sheet will continue to strengthen. On the flip side, certain external factors are expected to partially offset some of these benefits, such as rising interest rates, which will likely impact consumer demand to a certain degree. And for Adient specifically, will impact the company’s floating debt, which is limited to our Term Loan B. A few other headwinds that are more sticky in nature that we’re closely monitoring and executing plans to mitigate include energy cost. As mentioned throughout 2022, energy costs primarily in Europe, driven by the Ukraine-Russian war continued to trend higher. Our current forecast assumes an approximate $30 million headwind in 2022. Looking into next year, our preliminary view given the steady rise in cost and the potential for supply chain disruptions, leads us to believe that energy costs could continue to escalate over and above the 2022 levels. Similar story regarding to freight, in 2022, the current forecast assumes an approximate $90 million headwind versus last year, the bulk of which results from higher ocean freight. Looking into 2023 and despite the recent softening of some ocean freight channels, it’s likely to remain volatile and could potentially increase over 2022 levels. For both utilities and freight, similar to headwinds faced in the past, such as rising steel prices, we’re continuing to execute actions to mitigate the impact. Actions include using alternative shipping ports, onshoring operations where it makes sense, VAVE events with our customers to offset the impact, and as we’ve done throughout this year, having the tough, but necessary discussions with our customers regarding to recoveries. Another point to note is labor cost and availability as it continues to be a challenge that we’re working to offset through productivity improvements and price recovery in 2023. One final point related to headwind outside of our control is the impact of FX. For 2022 movements in FX are expected to have an approximate $20 million negative impact on our adjusted EBITDA versus last year. If the current rates hold into next year, we would anticipate an approximate $80 million of additional headwind. Although, I just described some pretty stiff headwinds on the horizon, we would expect 2023 EBITDA to be materially better than 2022 levels, as we’re still in the middle of our budgeting process and thus unable to provide more specific commentary, we will provide a more thorough set of expectations for next year during our November earnings presentation. In the meantime, we’ll continue to execute our plan, implement actions to mitigate the headwinds, and most importantly, drive the business forward. With that, let’s move on to the Q&A portion of the call. Operator, please give us our first question.
Operator: Thank you. [Operator Instructions] Our first question today comes from Rod Lache with Wolfe Research. Your line is now open.
Shreyas Patel: Hey. This is Shreyas Patel on for Rod. Just maybe following up on the last point you’re making. So, if you listed about $80 million of potential FX headwinds, energy costs could be higher than the $30 million, freight could be higher than the $90 million. And so, I just wanted to clarify that is incorporated in the scenario to that you listed on page nine. So even with those headwinds and a flat production environment, you could still have higher EBITDA, is that the right way to think about that? J Yeah. I mean, there’s obviously a lot of different directions all these things could play out. But our best guess right now is under that scenario is that we’d still expect to see improved earnings next year.
Shreyas Patel: Okay.
Doug Del Grosso: I would say a big piece of that assumption is, we have normalized the production build even on a flat year-over-year with our customers. So a lot of the inefficiencies we experienced this year don’t repeat next year.
Shreyas Patel: Understood. Okay. And then on slide 17, you listed a number of potential positives and negatives. I just wanted to -- putting aside the increase in production, just how to think about the balance in and balance out of new business. I know that’s been an ongoing initiative and I just wanted to get an update of that. And also, as we think about the -- and then as we think about the production environment in Europe, we’ve been hearing some concerned about potentially weaker volumes into the second half of the calendar year and any -- just trying to give an update of what you’re seeing on the ground at the moment? Thanks.
Doug Del Grosso: Yeah. Well, with regard to the balance in and balance out, although we haven’t quantified specifically other than we’re fairly confident at least from a market share standpoint. We’re maintaining our position from a revenue standpoint. So we’re feeling good about that. We’re winning what we want to win, as we outlined in the presentation. I would say, incrementally, the balance in, balance out, is favorable for us. The new business coming on, we think will be better than the business that’s exiting, that’s been kind of the last part of our plan as we’ve been more disciplined in how we win new business and how we price that business on a go forward basis. With regard to Europe, I don’t know that we claim to have a clear crystal ball on what’s going to happen. Certainly, if you look at what our customers are saying, they are expressing some level of confidence that they can continue to operate their facilities, despite some of the concerns around energy availability. I think, the big question is, what -- what’s happening with the consumer and if the consumer really active in the market and purchasing vehicles. Certainly, most recently, that’s all been constrained by some of the conductor availability, unconstrained, I think, it’s really a function of what happens in the energy market and what that does to consumer confidence or durable goods. I don’t know, Jeff, any…
Jeff Stafeil: Right.
Doug Del Grosso: … additional thoughts on that? It’s a little bit of wait and see. It’s not a wait and see from what we’re going to do and how we anticipate preparing for it. But it’s hard to see what’s going to happen in the market.
Shreyas Patel: Okay. Thanks.
Operator: Thank you. Our next question comes from Emmanuel Rosner with Deutsche Bank. Your line is now open.
Emmanuel Rosner: Hi. Thank you very much. Good morning. I wanted to ask you about some of the commentary on your slide nine, and in particular, I think, your quantification of some of the inefficiencies you’ve been incurring this year, both as a result of volume, as well as the ones that are not volume related. So first, could you please just size up again for us on a full year basis, included in your guidance? What are -- what is the total magnitude of the inefficiencies or that look like a different bucket? I assumed that they correspond to what you have on the side of slide nine? And then maybe explain in your sort of like broadly in your two scenarios, I guess, what you think would come back, are they more stable and what would actually require volumes to go up in order to get those back?
Jeff Stafeil: Yeah. I’ll start Doug and you can jump in. But we quantify -- we’ve talked about around $600 million of impact this year. You can think about two-thirds of that or $400 million is roughly related to volume. We think volume around $2.3 billion lower than it would have been in -- the way we sort of measure that is essentially looking back to 2019 or so where volume had been when it was in the low $90 million global production environment versus around the $80 million units we are -- we have been in the last couple of years. So that’s a bit how we get into the volume element and sort of what are -- what the impact is. We do expect in 2023 that that would be better and I’ll get to, if we’re in that scenario, two situation on this page in a moment. The other $200 million is, you can call it, equally divided into things that we called sticky cost, which are some of these costs that as they rose in 2021 and now in 2022, such as freight or utilities costs and labor, where -- it’s about 100 of it is that. We’ve been working hard with our commercial teams to, one is, finding offsets in our business, putting VAVE ideas to drive that and find offsets for our customers. But fundamentally, as we’ve always said, we’re a value-added model and when some of these input costs go up like this, there’s going to have to be an impact to our ultimate customer. So we are working in cases with our customers to offset much of those. And then about $100 million or that remaining $100 million is, call it, from the supply chain inefficiencies themselves. All those production stops and starts that Doug talked about, make up that other part. As we look into a flat environment next year, where we would expect as a lot of that $100 million to go away, we would expect, maybe not all the way down to zero, but, certain, a good portion of it. And we’d also expect that a lot of the maturity of the plans we’ve put place -- put in place on some of the sticky costs that drive from our own actions to some customer related pricing issues would put a bigger dent in that as well. So that gives us the confidence for the improved scenario in fiscal or for next year, even if volume is relatively steady. But we would expect…
Emmanuel Rosner: Okay.
Jeff Stafeil: … and I think IHS had some improvements in volume forecasts for next year. Not all the way back to where we were in 2019, but starting the process to get there.
Emmanuel Rosner: Okay. That’s super helpful. And just to clarify on the volume piece, so $400 million. Is that the same as the incremental margins you would expect on the higher revenues…
Jeff Stafeil: Yes. Yeah.
Emmanuel Rosner: …or this is separate?
Jeff Stafeil: No. That’s just really the contribution pull-through from that higher revenue.
Emmanuel Rosner: Okay. Understood. And then in terms of thoughts from your discussions on the recoveries from customers, so you’ve been really incredibly successful on the materials piece with essentially almost no headwinds left on a full year basis. But, I guess, still left with decent amount of like, non-materials, inflation. I guess, can you just update us on the progress of these, like, are you asking for, one-time recoveries on some of these things becoming more part of the contract on a go-forward basis? What’s the outlook for dealing with this going forward?
Doug Del Grosso: So, yeah, across the Board with all of our customers, we’re actively engaged on be it energy cost or premium freight, we’re having some level of success on that front. And we anticipate over time that, we could want 100% offset. The question is just what that time line is to accomplish that? We focused heavily on materials that spiked first, that takes time to resolve and in the end, we were successful there. So I would anticipate we’ll have some level of success, either getting it in a one-time form or somehow building that into our future contracts. The other thing you need to keep in mind is, as we start production on a new contract, we tend to have the opportunity to level set all the input cost, and adjust of pricing, as we go into start up production there. So that’ll be a piece of it as well. It really varies with each one of our customers, how we get there. But to Jeff’s point, in a value-added pricing model and with this kind of high fluctuation in costs, it needs to be addressed and we’re pushing hard to get that resolved.
Emmanuel Rosner: Great. Thank you.
Doug Del Grosso: Thank you.
Jeff Stafeil: Thanks, Emmanuel.
Operator: [Operator Instructions] Our next question comes from Colin Langan. Your line is now open.
Colin Langan: Oh! Great. Thanks for taking my questions. Just want to follow up on the Europe question. I mean, are you seeing cuts to schedules now or are you just seeing risk that those get cuts. I mean, are you seeing customers already cut? I guess, trying to gauge how imminent of an impact slowdown in Europe might be?
Doug Del Grosso: Yeah. So we’re still seeing cuts to schedules, albeit at a lower rate than we experienced in the midst of the --the height of the semiconductor constraint. So some of that we referenced in our formal comments that gradually improves. I think, the next wave of concern is more energy availability related. We would not experience that type of disruption. That’s all, I don’t want to say anticipated, but certainly, we’re risk profiling what likelihood that may occur. So we’re not experiencing anything on that front at this time.
Colin Langan: Okay. That makes sense. I mean, to follow up on that, I mean, do you have risk to some of those natural gas expose reason -- regions or countries, and is that a big input in your sort of metals business, I would just suppose with the where the biggest risk would be in terms of being able to produce that natural gas?
Doug Del Grosso: Yeah. I -- we do have some risk. Quite frankly, the way I think about it is, as COVID did, it’s not so much our ability to manage it, is the whole supply chain, and the fact that, that could potentially be disrupted and that’s outside of our control. So, yeah, we have risk. I’m more concerned about our customers ability to operate and then I’m even more concerned about the whole supply chain and their ability to get parts. If -- that could be really consequential as we’ve seen as a result of COVID. So that’s…
Colin Langan: Okay.
Doug Del Grosso: …that’s how we look at it. Yeah. I mean, but you are right, our metals business, we have metals plants in Germany, that could have some risk and we’re taking some steps there to mitigate that. But I’m always confident that we can probably work our way through it. It’s just what we can’t control.
Colin Langan: And just lastly, you mentioned, to be cautious about analyzing Q4 sort of 57 [ph] at the midpoint of guidance. I got them in the -- you listed sort of positive and negative. Is there any sort of like pricing recoveries from higher prior periods that are skewing that higher? What are sort of the unusual things that should be impacting that Q4 margin that you got to be weary of using?
Doug Del Grosso: Yeah. Well, there’s a few things. One is we still have a fair amount of production disruption that we’re forecasting, which we do think gets better in 2023. We have -- the mix of how those customer recoveries come in for the year aren’t equal. So we kind of make that point and just not analyzing it. So it’s just not, in general, trying to analyze any particular quarter for us is somewhat difficult, because especially in this environment, where we have a lot of, we’ll say, negotiations with our customers to deal with a lot of these rising input costs. They fall unevenly through the quarters.
Colin Langan: Okay. Thanks for taking my questions.
Doug Del Grosso: Yeah. Thanks, Colin.
Jeff Stafeil: Thanks, Colin.
Operator: [Operator Instructions]
Mark Oswald: Great, Danielle. It looks like that is all the questions that we had lined up today. So that’ll conclude the call this morning. Just a reminder to everybody that’s on the line, if you have any follow up questions, please don’t hesitate to reach out, we are more than happy to address those questions and have a follow up meeting. Again, thanks, everybody for your time this morning.
Doug Del Grosso: Thank you.
Operator: That concludes today’s conference. Thank you all for participating. You may disconnect at this time.